Operator: Thank you very much for taking your time out of your busy schedule to attend the Financial Results and Business Update Presentation for Q3 Fiscal 2024 by Eisai Company Limited. This is conducted in hybrid format including in-person attendance and virtual attendance. Those of you who are attending in person, please find materials including presentation deck, a fast report. For those of you who are participating virtually, please download these materials or check the materials online. Let me introduce the presenter today, Mr. Keisuke Naito, Representative Corporate Officer, Executive Vice President, COO, and Chief Growth Officer. CEO, Mr. Naito, please have the floor.
Haruo Naito: Yes. Thank you very much. Now I would like to report on the financial results for the third quarter of fiscal year 2024. This is today's agenda. Next slide, please. As for the consolidated business results for the third quarter of FY 2024, the pharmaceutical continued to make steady progress with an increase in revenue and double-digit profit growth from the previous year. Revenue was 601.2 billion yen, up 9% year-on-year and up 49.9 billion yen from the previous year. Revenue from the pharmaceutical business, which is the organic business shown below, was 569.1 billion yen, up 8% from the previous year due to the growth of three major products LEQEMBI, Lenvima, Dayvigo. Revenue from other businesses was 32.1 billion yen, which was 138% of the previous year's level, mainly due to divestiture of product related rights. Cost of sales was 128.2 billion yen, with a cost to sales ratio of 21.3%, an improvement of 0.3 percentage points from the previous year due to a change in the product mix. The gross profit was 473 billion yen, up 9% from the previous year. R&D expenses amounted to 125.3 billion yen, accounting for 20.8% of the revenue, showing enhanced efficiency. After taking into account the partner's reimbursement, R&D expenses amounted to 164.2 billion yen, 96% of the previous year's level. SG&A expenses amounted to 301.5 billion yen, 111% of the previous year's level, including 115.1 billion yen of shared profit of Lenvima paid to Merck and other income and expenses amounted to 9.2 billion yen. As a result, operating profit was 55.4 billion yen, 148% of the previous year's level, and profit for the period was 47.5 billion yen, 154% of the previous year's level with a double-digit increase from the previous year. Next slide shows a breakdown of revenue migration. As shown in the top left, revenue for the previous year was 551.3 billion yen. In the third quarter of FY 2024, as shown in the pink box at the top right, LEQEMBI grew by 28.1 billion yen or to 1.3 times of the previous year's level -- previous quarter's level leading to -- leading the overall growth as the biggest growth, Lenvima grew by 24.9 billion yen or 11% year-on-year, and Dayvigo grew by 9.3 billion yen or up 30% from the previous year. In the pharmaceutical business, the growth of these three major products have overcome the impact of negative factors including the expiry of the marketing agreement in Japan for Humira and revenue increased by 41 billion yen in this segment. In addition, as shown in the box in the lower right, upfront payment for transfer of rights to Methycobal and Myonal in Pakistan and Afghanistan as well as upfront payment for license agreement for authorized generic of Halaven increased revenue of other businesses by 8.9 billion yen as well. Revenue for April through December 2024 was 601.2 billion yen, up 9% year-on-year. Next slide please. This slide shows a breakdown of operating profit migration. Operating income also increased significantly the pharmaceutical business due to the growth of 3Ls, three major products despite the proactive investment of expenses in LEQEMBI due to the utilization of the partnership model and the promotion of efficiency by allocating resources based on priorities as well as one-time income from the transfer of rights to certain products as positive factors, which offset the impairment loss related to BB-1701 and the increase in shared profit of Lenvima paid to Merck. Operating profit increased by 17.9 billion yen from the previous year to 55.4 billion yen with a double-digit increase of 48% from a year earlier. Next slide we are reporting the business update. First we have a global business update on LEQEMBI. As an executive summary of LEQEMBI, regarding the current status of LEQEMBI business, I would like to share with you five points. We are gaining confidence in our ability to meet the fiscal year targets with the progress in establishment of the pathway including infusion capacity and confirming steady progress in business performance. In Japan, medical institutions care coordination system has progressed and actual performance has continued to exceed our plan. In China, steady progress has been made in the self pay market and solid growth in the deliveries to medical institutions. Overall global revenue is on track to meet our fiscal year forecast. We are also making steady progress toward key events such as SC-AI for subcutaneous injection and blood based biomarker, BBM, which will contribute to the improvement of pathway in the future. Based on these progresses, we believe that we are moving towards a growth expansion phase of LEQEMBI. Next slide please. Let me share with you global and regional performance of LEQEMBI. First, let me first report on the global revenue performance of LEQEMBI. Global revenue totaled 29.6 billion yen, US sales grew to 131%, Japan to 149% and global sales to 133% compared to the second quarter. The infusion capacity in the US has expanded steadily and follow up facilities in Japan are also expanding. Please note that although growth in China appears flat in revenue from the second quarter to the third quarter, this is due to the timing of deliveries to wholesalers and deliveries from wholesalers to medical institutions have continued to increase. All in all, for global revenue of LEQEMBI, let me share with you our view that we are steadily progressing toward achieving our forecast of 42.5 billion yen for fiscal year 2024. Next please, let me now report on the performance in the United States. The company achieved 18.1 billion yen in cumulative results through the third quarter. The number of patients currently receiving treatment is approximately 13,500 and the cumulative number of prescribing physicians is over 3,000, showing a continuous increase of 20% from the end of the previous quarter. The number of medical institutions placing orders is approximately 1,200, confirming a 12% growth compared to the previous quarter. In addition, the number of vials sold from wholesalers to medical institutions reached 160,000 vials in the third quarter of FY 2024. This number was the record high performance. We believe that such growth in performance has been linked to the expansion of throughput of the overall pathway including the capacity to accept patients, as we have reported earlier. Here are a few factors that have enabled this expansion. First, the number of Amyloid beta PET tests has increased by 45% over the previous quarter. We believe that the increase is due to the growing awareness of the significance of early diagnosis of dementia, the spread of use of guidelines for Amyloid beta PET tests that support early diagnosis, and increasing use of BBM as a pre-screening tool. In addition, the expansion of infusion capacity is also progressing and since January, the cap on the reimbursement has been removed, therefore, it will contribute to the further expansion going forward. Regarding the infusion capacity, which is also increasing, expanding. As has been reported, all of the 6,000 patients on the waiting list will be able to receive LEQEMBI treatment by the end of this fiscal year. We expect that the infusion capacity will expand in the fourth quarter and beyond, as we anticipate further growth in the demand. As a pioneer in the new market of fundamental treatment of dementia, we will make full use of the knowledge we have accumulated through LEQEMBI and steadily progress towards achieving annual forecast of 26.5 billion yen. Next please, next I would like to talk about the performance of LEQEMBI in Japan. The cumulative revenue through the third quarter was 8.3 billion yen. The number of patients treated with LEQEMBI has reached 6,800 since its launch and the number of doctors prescribing this treatment has expanded to more than 1200, showing steady penetration of the drug. In addition, the number of facilities that have initially introduced the drug has risen to 660. In Japan, the OUG describes the transfer of patients from the initial site to the follow up site after six months of treatment. The key in Japan is to establish a system of coordination between the initial facility and the follow up facility. We have received consent from more than 1400 facilities to accept such coordination. We feel that the interest level by HCPs is also increasing. In addition, the DTC was aired in November to raise awareness of MCI and we are now planning to run it again this year to further activate our medical consultation. In Japan, awareness among both medical professionals and consumers is increasing and we believe that we are on track to achieve our forecast of 12 billion yen for fiscal year 2024. Next, turning to China. In China after the launch in June last year, LEQEMBI is steadily growing in self pay market. In the first three quarters, 2.8 billion yen was achieved. The characteristic in China, a DESIRE model which is the evidence for BBM confirmatory testing is enhanced by academia and investigator initiated cohort research, steadily making headway towards social implementation of BBM. As for pathway using digital platform, Yin Fa Tong shown in orange, this is the name of the digital platform and its user number increased around 710,000 and number of registered physicians increased to around 6,300. Achieving further penetration, in this fiscal year, we are making good progress towards achieving forecasted revenue 4 billion in other regions including China. As we have communicated repeatedly in all regions, LEQEMBI sales is growing. We are receiving the voices of patients that thanks to LEQEMBI treatment, they can enjoy hobbies, can spend time with family, can drive again and QOL in daily life is improved. As for the cost of sales of LEQEMBI, the impact on consolidated cost of sales ratio in this fiscal year is minimal. In addition, because of rapid increase in sales from last fiscal year to this fiscal year, LEQEMBI production efficiency is improving and as expected, the cost of manufacturing is steadily declining. From next fiscal year and beyond, production efficiency improvement from increasing sales and volume is expected. By promoting various cost reduction strategies, we aim to further reduce cost of sales. Now Regulatory Status, LEQEMBI has been approved in 10 countries after it was approved in Macau. The number of countries and regions conducting regulatory review is expected to further increase. In Europe, in November 2024, positive opinion from CHMP was received. Subsequently, the European Commission has moved the decision making process. As a part of that decision making process, CHMP was asked to confirm two points; first, if it is necessary to update positive opinion based on the kind of safety information which became available after the positive opinion and, second, if description on risk minimization measures in positive opinion is sufficiently clear. CHMP is scheduled to review in the regular meeting these issues in February. We believe that the review items requested by the European Commission can be sufficiently clearly addressed with existing information and that there will be appropriate evaluation by CHMP. Towards obtaining approval in Europe, we will continue to work with the authorities. Now turning to key events to streamline the pathway. This is about IV Maintenance administration, new method of administration which is IV infusion maintenance dosing was approved by FDA on January 24th. By shifting to once every four weeks maintenance dosing, expectation is that clinical and biomarker benefits are maintained. After 18 months of initiation phase, the regime of one every two weeks may be continued or transition to the maintenance dosing of once every four weeks may be considered as a result of the approval. As a result, the maintenance dosing will help reduce the burden of clinic visits for patients and reduce the resources necessary for infusion on site at medical institutions, which we believe will also enhance pathway throughput. Next SC-AI, subcutaneous formulation with auto-injector. SC-AI maintenance is a submission package for 360 milligram fixed dose weekly dosing. PDUFA is set for August 31. This package was prepared using PK/PD modeling based on the data from SC sub-study conducted within Clarity AD etc. We are currently preparing submission for SC-AI initiation. We plan to submit sBLA immediately after obtaining approval for SC-AI maintenance treatment based -- and aim to obtain approval in 1Q from fiscal 2025 to fiscal -- within fiscal 2025 to 1Q fiscal 2026. Based on PK/PD modeling, as initiation dose more appropriate dose setting is pursued. Currently we're steadily obtaining data necessary for submission package. With this new formulation, administration at home or outside of care becomes possible. Injection time will be substantially reduced to 15 seconds on average, leading to reduction of burden on both the patients and healthcare professionals. We believe that this may also lead to lowering the hurdle for PCPs to participate in the pathway. Next, I would like to show the roadmap for wider usage of BBM which is the next generation confirmatory testing technology. Currently, PET or CSF is mainly used for confirmatory testing. In the US, as pre-screening before confirmatory testing, BBM is starting to contribute by increasing the number of Aβ testing. Because of such indications, expectations for significance of BBM as confirmatory testing and its social implementation are rising. Stakeholders such as academic societies and drug diagnostic companies already are taking action. For example, the world's largest AD related MPO Alzheimer's Association is expected to publish BBM testing clinical guideline around spring to summer this year. Several diagnostic companies have submitted IVD applications for confirmatory testing using high precision composite score including Aβ and p-Tau217 evaluation system. To ensure that we seize these momentums, Eisai will continue to encourage each stakeholder to support establishing BBM reliability and appropriate use and adoption by authorities and in countries where approval is given. In fiscal 2026, we believe that in the US, IVD approval can be obtained and reimbursement will be achieved in BBM to be used widely included setting. Next turning to oncology, Lenvima continues to grow. Revenue increased by 11% to 248.1 billion between April to December year-on-year. In the United States market mainly with renal cell carcinoma, year-on-year 15% growth was achieved driving global sales. In the US the growth is expected to outweigh the impact from Medicare Part D redesign under IRA. Lenvima has grown to become backbone therapy for multiple cancer types with six indications across five cancer types including endometrial carcinoma, adrenal cell carcinoma Regarding the future oncology pipeline, in addition to collaboration with Lenvima and products from other partners such as KEYTRUDA, we will also focus on development of combination therapy of Lenvima and in house developed products. First about E7386, this is potential first-in-class only available mid-molecule compound that inhibits CBP β-catenin protein-protein interaction. This is basically human biology finding obtained from clinical samples of Lenvima and we hope that E7386 will reverse resistance to Lenvima. Study 102 in endometrial carcinoma is ongoing. We aim to obtain by fiscal 2030 approval for combination treatment with Lenvima. Next, more up to on the right is an ADC which is composed of in house developed Eribulin, linker, and folate receptor α antibody farletuzumab using cutting edge process chemistry to synthesize. Since the effect of Eribulin on tumor microenvironment is a novel effect different from Lenvima, we hope that antitumor activity of Lenvima can be enhanced in combination. Study 201 in platinum resistant ovarian cancer as monotherapy is ongoing. In fiscal 2026 we plan to initiate a trial as a combination therapy with Lenvima and we aim to obtain approval by fiscal 2030. This is the final slide today which is fiscal 2024 consolidated financial forecast. One-time revenue initially expected in Q4 was carried forward to Q3. As a result, as of Q3, operating profit and net profit are above the consolidated forecast, but the forecast disclosed in May remains unchanged at this point in time. We are starting cost restructure review with the aim of improving profitability in the next year -- next fiscal year and beyond. We are currently reviewing the impact of that temporary increase in expenses on this year's performance. Looking at the status, we will continue to focus our efforts on 3L, while controlling expenses within the range of gross profit to achieve increase in both revenue and profit. That concludes my presentation. Thank you for your kind patience.
Operator: We would like to open the floor for Q&A session. We would like to receive questions from analysts and then we'd like to open the floor for questions from the media. If you have any questions, please mention your affiliation and name before asking your questions. [Operator Instructions]. In the fourth row please have the floor. Person in the fourth row, please have the floor.
Hidemaru Yamaguchi: I am Yamaguchi of Citigroup. Thank you very much. To the end you mentioned that you have moved forward the strategic options. The amount itself was almost in line with the amount expected at the beginning of the year, so there will be no changes or have there been any changes from the plan because of the structure option that has been moved forward.
Haruo Naito: In response to your question, Mr. Iike, who is in charge of planning is going to respond.
Terushige Iike: Thank you very much for your question. My name is Iike. I am in charge of planning. Specifically, we are not able to mention any names of which companies, but the amount itself was larger than our expectation.
Hidemaru Yamaguchi: Thank you.
Terushige Iike: Then specifically there is upside to the company's forecast, right.
Hidemaru Yamaguchi: Thank you. Understood. Now, IV maintenance, I have a question about that because IV maintenance has been approved and for patients who are receiving treatment for over 18 months, I believe there are some -- so bi-weekly or moving to the once every four weeks, are there many patients who are shifting or have there -- what size of commercial impact of shifting to the IV maintenance do you expect?
Haruo Naito: For your question, Mr. Haruna is going to respond.
Katsuya Haruna: I am in charge of LEQEMBI business. My name is Haruna. First, regarding the approval of IV maintenance, which is received favorably by healthcare professionals and patients, that has been evaluated highly. For those patients who have received treatment for 18 months, we do not think that there are many such patients, so we believe that the number is about 100. But from this fiscal year through next fiscal year, about 10,000 patients are expected to transition to the new full dosing and on a continual basis, we believe that the more number of patients will continue to shift to the new formulation. And Alzheimer's dementia is a continuous and progressing disease. Therefore it requires the continuous therapy treatment. So IV maintenance dosing which has been approved in the United States, we believe, which is a very significant event, which will bring about the enhanced value in clinical setting. We are confident in that. Thank you very much for your question.
Hidemaru Yamaguchi: Thank you. We do not see any specific numbers for next fiscal year. LEQEMBI focus has been downwardly reviewed -- revised, but since then you have been doing pretty well. But for the next fiscal year in the United States, inclusive of the factors that you have mentioned, what increase or what increasing factors do you see for the next fiscal year? BBM will come in the next year -- after next also as well. And I see as the initiation dosing will be also coming around in the year after next.
Katsuya Haruna: Yes, thank you very much for your question. Amyloid beta PET increase and also the infusion center expansion for the pathway improvement and there will be more acceptance of more patients who can go through the pathway. That is, we believe, very important. Therefore, in order for us to achieve the forecast, which we are confident in doing so, but regarding the details, Mr. Iike is going to supplement.
Terushige Iike: Yes, as you mentioned, we are not able to give you any specific numbers for next fiscal year, but at the closing of the financial year, which will be announced in May, we will be able to share with you some numbers. But we believe that the current trend will continue for some time, which will be the basis for the planning. Our partner, Biogen and us are having the close discussion and also expenses to be invested and also in which area or products we are going to make investment are being studied closely now.
Hidemaru Yamaguchi: Thank you very much.
Operator: Next question. Attendee seated in the first row please.
Seiji Wakao: Thank you. I'm Wakao from JPMorgan. I have a question regarding Lenvima. Lenvima is increasing in volume and sales is increasing strongly and it seems that it is leading to upside swing up to the third quarter. From January Medicare Part D redesign started, I believe you have already incorporated that impact in this fiscal year. How would that impact next fiscal year's performance? Medical Part D redesign impact will be felt next fiscal year and are you still able to achieve increasing revenue next year?
Haruo Naito: Mr. Iike will respond.
Terushige Iike: This is Iike speaking, responsible for planning. I would like to respond to your question. I believe your question is regarding not this fiscal year but next fiscal year. Inflation Reduction Act, there are two factors as you are aware of. The first is the rate of inflation in excess of the rate of inflation that should be returned to the government and this already is implemented since 2023 and the proportion of that will not is not expected to change next fiscal year. The second point is what you have mentioned, the one that started in January this year which is Medicare Part D redesign out of a pocket of $2,000 by patients, exceeding that amount 20% is to be borne by the manufacturer. This fiscal year it will be impacting only the fourth quarter but in next year it will be having a full year impact and that will be of certain sides. To be more specific, close to million dollar impact in comparison to situation without this change. However, the underlying growth trend for RCC and endometrial carcinoma in combination with KEYTRUDA is growing despite the severe competition. So that will be substantially offsetting the impact and we do not expect a large decline.
Seiji Wakao: Thank you. Then you will be able to maintain flat growth.
Terushige Iike: More or less, that is how we are developing plants.
Seiji Wakao: I have another question about the next fiscal year. According to the earlier presentation you've mentioned the gross margin of LEQEMBI next fiscal year, though I believe that this is improving recently, but looking at the quarter, it is not so clear yet. At what point in time will LEQEMBI gross margin improve so that it will have impact on performance? When will the change be visible in next fiscal year LEQEMBI gross margin improvements and impact on increasing revenue is not something that we can expect?
Haruo Naito: Mr. Tamura will respond.
Kazuhiko Tamura: This is Tamura, responsible for production. Is it about the cost of --
Seiji Wakao: The cost, how much improvement in cost?
Kazuhiko Tamura: As for LEQEMBI cost, we are working with our partner in Biogen. Regarding cost of LEQEMBI, we are working with our strategic partner Biogen and we are unifying our efforts. As Mr. Naito earlier explained, the volume will increase in the next fiscal years, so production efficiency will improve and cost is expected to decline. And we are also implementing various initiatives, some of which I will share with you. First is the site of production of the drug substance. Currently Biogen has plant in Solothurn in Switzerland. This is a highly automated plant and cost can be reduced by continuing to manufacture drug substance at a certain volume. That will help reduce cost and yield of antibody can be dramatically improved with manufacturing method and we are trying to develop such a manufacturing method and Biogen also has a plant in North Carolina in the United States and it is considering use of that plant for production of drug substance. This plant is in operation for quite some time and it has been depreciated significantly. Low cost production there may be possible and preparations are underway for submission. For formulation -- in the second production site, for formulation, a lower cost CMO has been added and shipment has already started from that CMO and that is contributing to reducing the cost. As for packaging, this is for Japan and Asia but final packaging is done by Kawashima plant of Eisai and we are also improving efficiency here. Through these comprehensive cost reduction strategies, we believe that we can increase LEQEMBI access and stable supply of high quality LEQEMBI on a continuous basis. And regarding cost, cost is steadily being reduced.
Seiji Wakao: Is there anything any indication that you are able to give quantitatively?
Kazuhiko Tamura: As for the actual cost, we have agreement with our partner Biogen and we would like to refrain from disclosing.
Seiji Wakao: Finally, just briefly, based on what you have discussed next fiscal year, what is the direction of operating profit?
Kazuhiko Tamura: LEQEMBI is going to be selling strongly and Medicare Part D impact, if it is not so significant, then it may be possible to have increasing revenue. But this year there were some one-time revenues and it's difficult to forecast the direction.
Seiji Wakao: What is the expected direction internally?
Haruo Naito: Mr. Iike will respond.
Terushige Iike: Thank you for your question. First of all, LEQEMBI is the product for which we are making the largest investment. Also requires a commercial investment for SG&A. The fiscal 2025 SG&A is trending to be larger than in 2024, fiscal 2024 as we have been stating, as an item, LEQEMBI is expected to turn profitable in fiscal 2026 including in the United States. That is what we aim to achieve. As an item, loss ratio will decrease but in fiscal 2025 investment will be made in advance. Another backbone Lenvima, as I responded to earlier question, we want to ensure sales and bottom line. Earlier, towards the end of the presentation Mr. Naito, CEO, mentioned that we will be reviewing cost structure. This has already been initiated. Some of the expenses are including expenses in this fiscal year in the fourth quarter and some are expenses in the next fiscal year. Because of this, the target operating profit level is currently being discussed. I'm sorry, I'm not able to give a clear cut answer but that is the current situation.
Seiji Wakao: Thank you very much.
Operator: Next question the person in the back please have the floor.
Takashi Akahane: Thank you very much. My name is Akahane of Tokai Tokyo. I have two questions about the LEQEMBI. I am looking at page 8. There is a quite steady progress. As a catalyst the maintenance therapy and auto injector SC-AI in August is expected to grow further and you have made revisions and based upon the current numbers there is no need for such -- consideration of such additional events. Is this correct?
Haruo Naito: In response to your question we have Mr. Haruna. Responding to you regarding the situation in the United States, Mr. Haruna will respond. Ms. [Indiscernible] is going to respond regarding the situation in Japan.
Katsuya Haruna: Thank you for your question. My name is Haruna, I am in charge of LEQEMBI business in the United States. First of all, for US LEQEMBI, in the third quarter there was a significant growth. We have seen the progress because of the increase in demand particularly PET test and also BBM increasing the diagnosis. This shows the heightened expectation to the introduction of LEQEMBI treatment. And since the launch it has been almost one year, there has been enhanced confidence in treatment among physicians as well as the efficacy of the treatment is being felt. Therefore the LEQEMBI expansion is being accelerated. Therefore the growth of LEQEMBI is expected to grow and we have seen further growth and we believe that this growth will continue going forward. If I may repeat, the monthly IV maintenance has been added as indication approved therefore this has been highly evaluated by stakeholders. This is thanks to the maintenance and long term treatment and necessity for doing this as has been described in the label in the United States, we believe that this has been well received by physicians prescribing physicians so beyond these events, we believe that we would be able to continue steady growth in the United States.
Takashi Akahane: Thank you very much. That is what I have about the US.
Haruo Naito: [Indiscernible] is going to respond to you regarding the Japanese situation in LEQEMBI.
Unidentified Speaker: And LEQEMBI commercial is my area of responsibility. As has been mentioned by Haruna San regarding the US situation, in December, in 2023, the LEQEMBI was launched. So it's now about 14 months and the optimal use guideline has been adopted which is a quite a stringent guideline. And together with HCDs we have worked hard over the past one year to establish pathway and after completion of the pathway we have seen a smoother flow of patients which allowed the early diagnosis and early initiation of treatment. That is what we observed over the past 12 months. Under the OUJ in Japan, every six months efficacy has to be confirmed and that has been done. As CEO, Naito, mentioned earlier, in Japan as well, there are various changes reported about patients. Some patients started the hobbies that had been stopped earlier and also they are returning to the workplaces as well. In addition to such firsthand experience by patients and regarding the ADR, we have disclosed the ADRs recently. The ARIA issue which was concerned and also infusion reaction, all of these have been disclosed. Compared to the clinical trial data, these ADRs have been contained lower than that was observed in clinical trial which is controllable. For the proper use by the physicians and the patients, we believe that such sense of security has spread and going forward a certain number of new patients who will start the initiation -- the treatment with LEQEMBI, therefore, we believe that the penetration of this track will further progress in Japan as well.
Takashi Akahane: And now we have -- thank you very much. I have a question for you, Mr. Naito and in Japan 50% growth in Japan as well on page eight and then the 70% is the planned number and it is difficult to foresee any drop in the fourth quarter or rather it is expected to grow. So what is the full year plan as regards to the revenue of LEQEMBI?
Haruo Naito: Thank you very much for your question. As you see in this slide, for us, based upon the actual growth and the performance so far regarding the forecast for the fourth quarter, we believe that we can be confident in achieving the forecast. In each region performance review I mentioned earlier, these are linked to the certain number of KPIs and based upon which we are able to show our confidence of achieving this.
Takashi Akahane: This the last question not only for the can be but other businesses are doing well and not bad. So in Q3 and the full year number, as Mr. Naito mentioned, 103.5% in operating profit. And it is -- do you think it is going to be misleading if you consider the focus for fourth quarter?
Haruo Naito: Well, as Mr. Iike mentioned in his response, it is going -- there is going to be the review of the structure of the cost and it may have an impact on the performance. If there is any potential change to the forecast for performance, so we are going to report immediately.
Takashi Akahane: And 42.5 billion yen revenue is estimated for the reconvenes, so if there is any upside and there will be upside added to there and also downside, if there is any impact by the cost structure review?
Haruo Naito: Mr. Iike is going to respond.
Terushige Iike: Yes, that is correct. There are other factors for increasing as well as the one-time cost to be incurred.
Takashi Akahane: Thank you very much. Understood.
Operator: Next question, attendee seated in the third row please.
Miki Sogi: I'm Sogi from Bernstein. Your stock price is at the lowest in the past 10 years. I believe everyone from Eisai in this room understands that the stock price of Eisai movement is dependent on LEQEMBI performance in the United States. It was mentioned that at the current pace growth is expected to continue and I believe that that may not have a positive impact on the stock price. Market participants would like to know when this product will reach $1 billion in the US dollars and when can you have a certainty that it will be achieved ahead of schedule? I think that is very important. And what is the view of Eisai on this point? Naturally, internally, I believe that you have forecast for the next three years and next five years, although I'm aware that there are various uncertainties. But what message would you like to send to the market?
Haruo Naito: Thank you for your question. As I've mentioned in the presentation, right now in each region, for example patients are participating and there are positive experience related to LEQEMBI and that is beginning to be shared and presented at the Academic Society meetings to be shared. In that way, in this category, the significance of the product is beginning to be better understood. In this way, LEQEMBI itself's fundamental value will be understood and will be reflected in the sales in major regions including in the United States. And looking at the future drug discovery strategy of a company and that our challenging attitude -- our attitude to take on the challenge for the future will also be better understood. I would like to ask Mr. Haruna to make additional comment on the US.
Katsuya Haruna: Thank you. This is Haruna responsible for LEQANBI in the US. Your question about sales of LEQANBI when it will reach 1 billion in the US, I will refrain from responding, but we certainly think that the potential is greater than that and we have high degree of confidence. BBM and SC-AI will be implemented in the society in the future. And naturally the AD market itself will be transformed. Fundamentally, we believe that these will be a game changer and LEQANBI be alone has the possibility of SC-AI which is being pursued. We are engaged in activities to increase demand and increase capacity in a multifaceted way and primary care PCPs participation activities are also conducted and with that we believe that there will be a very large increase in the future.
Miki Sogi: Thank you. One more question regarding Lenvima in the United States, year-on-year 15% growth was achieved in yen terms. On a constant currency basis or in volume terms, how large was the increase?
Haruo Naito: That question will be addressed by Mr. Iike.
Terushige Iike: Volume, do you mean physical volume?
Miki Sogi: Not volume but on a constant currency basis.
Terushige Iike: Excluding the impact of the exchange rate, I believe the growth of 15% is including the impact of the exchange rate change. 8.4% on a local currency basis. So clearly there is also growth in terms of volume as well.
Operator: Any other questions? We would like to receive questions from participants who are participating online. Mr. Muraoka from Morgan Stanley, can you hear us?
Shinichiro Muraoka: Yes, thank you very much. This is Muraoka of Morgan Stanley. Can you hear me?
Haruo Naito: Yes we can.
Shinichiro Muraoka: Thank you very much. Regarding the IV maintenance treatment of LEQEMBI, of course on label for those patients who have received the treatment for 18 months who can switch to this therapy, but insurer as well as the physicians who wish to switch to this new dosing before waiting for 18 months of course it will be used in off label use. Do you think that there are such movements among market as such?
Haruo Naito: For your question, Mr. Haruna is going to respond.
Katsuya Haruna: I am in charge of LEQEMBI in the United States. My name is Haruna. The dosing every four weeks, there is an increasing demand for this treatment but during the initiating period biweekly dosing should be continued in order to have the treatment benefits and this has been well understood in the market. Regarding the off label, we do not recommend any off label use and currently physicians understand that there is a standard to start new dosing after 18 months have passed and therefore we have not detected any such movements of those people who wish to switch to this new therapy or dosing earlier.
Shinichiro Muraoka: Thank you very much. I have another question about LEQEMBI as regards to SSC. Up until quite recently I think approval was expected to be in June, but PDUFA was 31st of August. So what kind of a negotiation have you had that has caused this delay compared to the original estimation of the PURUFA date?
Haruo Naito: For your question, Dr. Lynn Kramer is going to respond.
Lynn Kramer: Yes, thank you for the question. This is Lynn Kramer, I'm the Chief Clinical officer at Eisai. Our negotiations with the FDA have been as expected. As you're aware, we have received a fast track designation and in this situation we had two options; one, either to receive a rolling review and we have received that, but we have a standard review period rather than the priority review. We do expect to achieve this in August of this year as we've said and that's the reason for the difference in timing. The priority review was not granted in this case and we are having a standard review. Thank you. Does that answer your question?
Shinichiro Muraoka: Thank you very much. I have another question as a last question. LEQEMBI is ramping up, we understand it very well. [Indiscernible] is following you with quite favorable data. Maybe there is going to be the time lag of two or three years. Do you think that there are any concern? If you think that there is no concern then what is the ground for you to think in that way?
Haruo Naito: For your question, Dr. Owa is going to respond.
Takashi Owa: Thank you very much Mr. Muraoka for your question. It's very difficult for us to respond to that question. Regarding any other company's products, we are not in position to make a comment. But we have the profile of the LEQEMBI where we have confidence first in class and best in class product and bispecific antibodies are also developed by other companies but you mentioned a favorable data but we do not know any specifics about such data, efficacy, AE and so forth. And we do not know how this balance is going to be developing. We are not in a position to make any comments on that. And currently what we can say is that we are overwhelmingly confident in LEQEMBI. Maybe that is the right way to respond to your question. Thank you very much.
Shinichiro Muraoka: Thank you very much. Amyloid beta is clearly removed. Like LEQEMBI I think this data seems to be excellent but do you think that this is not relevant to the future risk in terms of competition at least for now? You do not think that this is going to be the risk in the future?
Takashi Owa: If I may continue in my response, right, for now in terms of efficacy, we do not think that this is going to be an overwhelming risk posted to us.
Shinichiro Muraoka: Thank you very much. Understood.
Operator: Next we have Mr. Hashiguchi from Daiwa Securities.
Kazuaki Hashiguchi: Can you hear me?
Haruo Naito : Yes.
Kazuaki Hashiguchi: This is Hashiguchi. Thank you for taking my question. I have a few questions regarding LEQEMBI. First, CHMP committee or European Commission's request to CHMP, what triggered this in terms of information and what is the view of Eisai?
Haruo Naito : The view of Eisai is that existing information is sufficient, but is this view already agreed to by the authorities in the United States and Japan or is this still under review by the authorities in Japan in the US. Lynn Kramer will respond. Lynn, can you hear? Can you answer to the question about the --
Lynn Kramer: I'm sorry, I still on mute. This is Lynn Kramer, Chief Clinical Officer. We were not able to tell the details of the information that became available after the adoption of the CHMP because this is a review related matter. But the information requested is not new and it has already been reviewed by the FDA and the MHRA. The safety profile of lecanemab in clinical practice in the United States, Japan and other countries after its launch is consistent with the approved labels and no new safety signals are identified. We believe that the EC's request can be addressed with existing information and will be evaluated by the CHMP because of the clear and sufficient information available and we have provided that to them. Thank you.
Kazuaki Hashiguchi: Thank you very much. Regarding Kyocera, the share of LEQEMBI in a new patient, what is the understanding of Eisai?
Haruo Naito : Mr. Haruna will respond.
Katsuya Haruna: Thank you for your question. This is Haruna responsible for LEQEMBI in the United States. Between Kyocera, our competitive advantage we understand is very strong. The ramping up of Kyocera in the United States seems to be taking more time LEQEMBI and LEQEMBI introduction is being accelerated and we believe that impact on our share is negligible. As for LEQEMBI infusion and ADO improvement evidence of patients are given to LEQEMBI, we believe that it is important to easily -- communicate this in easily to understand fashion and patients who are receiving LEQEMBI can be are saying that they are able to enjoy time with friends, family or able to change clothes in more than 75% of the cases and the disease is stable and some say that it was a life saving and this was presented by Dr. Watson CTAD last year. They are able to enjoy hobby again, they're able to spend time with family, they're able to drive again in daily life, improvement in quality of life are also reported by patients. These are experience that is based on LEQEMBI used that are actually filled by physicians and I believe that is leading to greater volume of prescription and to repeat IV maintenance dosing is now approved and for patients who have a progressive Alzheimer dementia, LEQEMBI has the only -- LEQEMBI is the drug with only such benefit and will be that this -- at least this is a future potential. Regarding the situation in Japan Mr. [Indiscernible] will respond.
Unidentified Speaker: Thank you. I am [Indiscernible] responsible for commercial of LEQEMBI in Japan. First, as for [Indiscernible] impact at the moment impact is almost non-existent. As for LEQEMBI, we spend much efforts, time and cooperation from their stakeholders in ramping up LEQEMBI since the launch in December last year, in the previous year and NMS 20 to 21 is required for administration of LEQEMBI and for patients who have difficulty visiting on a bi-weekly basis LEQEMBI administration has slowly begun two different drugs and I see informed consent can be cumbersome and about the differences in the safety of two drugs, we hear from healthcare professionals that they are struggling with these. But as Mr. Haruna mentioned earlier about LEQEMBI, we have a vast amount of expense of 7,000 patients using LEQEMBI. This experience and the experience of how LEQEMBI can be used safely is shared with the physicians and through physicians through informed consent to families and patients. And that is a major advantage and we would like to continue to further expand contribution through LEQEMBI.
Kazuaki Hashiguchi: Thank you very much. As for maintenance impact, as you mentioned just now, maintenance dosing can be a reason to certain LEQEMBI and that is majority of the impact. The dose does not change, only frequency will be reduced. And simply put, should that be understood as a negative factor for sales? Especially in the United States, infusion centers and distributors of your stakeholders are being paid consideration for their expense and in maintenance and in the initial phase for the first 18 months, are there any differences in economic conditions?
Haruo Naito : Mr. Haruna will respond.
Katsuya Haruna: This is Haruna responsible for LEQEMBI in the United States. First, LEQEMBI maintenance dosing. With respect to that, as for the volume that is administered per administration, that remains the same and therefore physicians, healthcare professionals and accounts the burden of profit setting will not change. On the other hand, and going forward, as you pointed out, because of IV maintenance the value I believe this will accelerate introduction of this therapy by physicians and long-term administration will also become possible. And naturally over the longer term, patients who will continue to be treated will increase in number month by month and therefore maintenance dosing resulting in long-term treatment and also the value of maintenance dosing as a value that increases new patients we believe will create another wave next year.
Kazuaki Hashiguchi: Thank you very much.
Operator: We'd like to receive questions from the media. If you have any questions, please raise your hand. Person in the third row from the front, please have the floor.
Hinako Banno: My name is Banno, I'm from Nikkei Newspaper. If I may digress regarding the tariff policy of the United States, I have a question. The new President of United States, Trump, is going to impose tariffs on even on the pharmaceutical products and the tariff rates are not determined yet but there will be across the board tariff to be applied. So based upon this background and also there will be potential tariffs against the Japanese products and what kind of potential impact do you see on your products or businesses? What is going to be the degree of impact of this tariff policy in a United States?
Haruo Naito: Mr. Tamura is going to respond.
Kazuhiko Tamura: My name is Tamura, I am responsible for manufacturing. Thank you for the question. On the February 1st, Canada and Mexico -- President Trump mentioned that the tariff will -- of 25% onto the products and also China as well additional 10% will be added but on the 4th of February a media report said that there has been a deferment of the additional tariffs to Canada and Mexico and also there will be ongoing discussion with China as well regarding the sales sub in the United States of Eisai is trying to collect information of the US Government, which is conducted by the government affairs and also we have office in Washington as well and through close communication with the stakeholders in Japan as well and gathering information about the comments made by President Trump as well as the activities and movements in the US Government as well.
Operator: Thank you for your question. Are there any questions? Attendees seated in the first row please.
Yuki Osanai: Osanai from Yomiuri newspaper. I have two questions. First is about the maintenance dose that was approved in the United States. I heard that preparation is underway for submission in Japan as well. What is the likelihood of the submission and what is the anticipated timing for approval?
Haruo Naito: Ogawa San will respond.
Tomo Ogawa: Neurology Asia Japan development is my responsibility. My name is Ogawa. Thank you for your question. As for maintenance doors in Japan, depending -- looking at the situation in the US which is ahead of Japan, we are in consultation with the PMDA specifically when I'm not able to mention the timing right now but maintenance dose significance and the package necessary for filing we are having a discussion in a positive fashion.
Yuki Osanai: If I may, I have one more question. I believe 6,800 patients are given LEQEMBI and 7,000, I believe, was the expectation by the end of March. But what is the next step, next target, for example, 10,000 by when? Do you have any expectation?
Haruo Naito: Mr. [Indiscernible] will respond.
Unidentified Speaker: I'm responsible for LEQEMBI commercial, this is [Indiscernible] speaking As you just mentioned, with MHOW, in the initial negotiation, we have provided our market size forecast and this year, this is the second year, 6,800 is the number that we have provided and we are almost in line with that. In the third year, and this is already published, 13,500 patients and we would like to be able to provide LEQEMBI to as many patients as possible. We are confident that we will achieve growth in the next fiscal year and targeting that we will continue to engage in our activities. And thank you for your question.
Operator: Are there any questions? The person in the third row from the front, please have the floor.
Unidentified Analyst: Thank you very much. My name is Sakata [Phonetic], I am from Yakuji Nippo. I would like to ask you questions about the LEQEMBI in Japan. 60 medical institutions, which has initiated a treatment with LEQEMBI and there are 1400 follow up facilities. And you mentioned that there is a smooth establishment of a pathway and what has been working well for establishment of pathway? Have there been any bottlenecks? And the second question is a blood biomarker, SC-AI, you may explain that situation in the United States, but what will be the benefits for the patient -- when Japanese patients will be able to receive such benefits as well?
Haruo Naito: Mr. [Indiscernible] is going to respond.
Unidentified Speaker: Thank you very much for your question. Regarding your first question, the initiation institutions as well as the follow up facilities, you asked the question about that and 660 institutions which have initiated their treatment and we are seeing an increasing number of such institutions day by day. And first of all, first target is to reach 1,000 institutions and on top of that, follow up facilities. As Mr. Naito mentioned earlier, about 1400 institutions have consented. And in delivery of this drug under the OUG, we are getting the confirmatory letter exceeding the number more than 1,000 institutions who have submitted such consent form. And we need to aim at reaching 3,000 institutions because we are seeing increasing number of new patients who will start receiving this treatment, therefore, we would like to increase the number of institutions who will follow up.
Unidentified Analyst: And another question is about the CAI formulation in Japan or have you asked the bottlenecks in the pathway in Japan?
Unidentified Speaker: Yes, that is correct. In building a pathway rather than bottleneck, first of all, such pathway needs to be in line with the OUG and then those institutions which are compliant with OUG, does that mean that they will immediately be able to start treatment with LEQEMBI rather than that MRI should be regularly conducted and with the department and the physicians which are conducting such MRI, they need to have a consultation and you needed to make appointments and over six months or so and who are going to negotiate with the follow up facilities. Therefore, it depends on the institution as well as depending on different regions, there have been various types of bottlenecks and over the past 12 months. We have been able to resolve this because -- mainly because of the neurology specialists, dementia specialists, about 50 of them were assigned to prepare for the launch and over 600 general MRs or sales reps were in charge of other products but they deepened their understanding in the dementia as well. The biggest factor is that 25 years ago we were the first company which launched the drug for dementia Aricept and we have been able to establish relationship with the neurologist as well in Japan. And regarding the SC-AI formulation in Japan, Mr. Ogawa is going to respond.
Tomo Ogawa: For SC-AI formulation, I'd like to respond. My name is Ogawa. I think you asked about the question -- you asked a question about the schedule for introducing the SC-AI. As regards to maintenance, we responded earlier. Regarding the SC-AI, we will learn from the US market and we are progressing with the negotiation discussion with BMDA as well.
Unidentified Analyst: Thank you very much.
Operator: Are there any other questions? Yes, attendee who is seated in the front row please.
Unidentified Analyst: Thank you for taking my question. If numbers were already mentioned, I apologize, but Kyocera is now emerging as a competitor and what is the impact how much decrease in sales was seen if there are numbers, please. And LEQEMBI is going to be given once every four weeks and do you expect to increase the interval even longer than four weeks?
Haruo Naito: Mr. Haruna will respond.
Katsuya Haruna: Mr. Haruna responsible for LEQEMBI in the US. We previously responded to earlier question Kyocera ramping up in the US is -- it seems that it's taking more time than LEQEMBI and we are not seeing much impact in terms of share. So the impact we consider to be minimal.
Unidentified Analyst: The second question is about extending the administration interval even longer.
Haruo Naito: I guess the second question Mr. Ogawa will respond.
Tomo Ogawa: I am responsible for neurology in Japan and Asia, this is Ogawa speaking. I understood the question to be about interval that is longer than once every four weeks, we have made presentations at the academic societies and the maintenance dose frequency is based on Phase II and clarity AD data and based on the simulation using that data. And there were several patterns that were simulated and once every four weeks was appropriate and was deemed as appropriate to maintain efficacy and that is why it was filed for approval. And at the moment, other than that we are not considering any different frequency for maintenance dosing.
Operator: Now the time has come to close today's financial results briefing session. Thank you very much for participation out of your busy schedule.